Operator: Good day, ladies and gentlemen, and welcome to the Pure Cycle Corporation 2020 First Quarter Financial Result Conference Call. All lines have been placed in a listen-only mode, and the floor will be opened for your questions and comments following the presentation. [Operator Instructions] At this time, it is my pleasure to turn the floor to your host for today, Mr. Mark Harding. Sir, the floor is yours.
Mark Harding: Thanks Jess and I'd like to welcome you all to our first quarter earnings call. It's a bid out of cycle for us as we typically usually do two calls a year but because of the results that we have and kind of the uniqueness of some of these results that I thought it might be important to share some of the color of all of these things. And kind of give you an update on what we are doing and where we are headed. So with that we do have a slide deck for this. If you move over to, if you can get over to our website, get over to purecyclewater.com and in the Investor tab you will find that there is this slide deck for this presentation. And what I'll try to do is I'll try and note the transition of the slide as we work through the presentation.  So our first slide, second slide actually is our safe harbor statement where those statements are not historical facts and incorporated in reference presentation are forward looking statements. And I think you are all familiar with our safe harbor statement.  I am going to kind of run through the kind of the company story because I'm certain that most of you are fairly familiar with the company and the assets. They're in here. We are a water utility company and with the segments that also develops land and we've been developing or Sky Ranch project. We broke ground on that this year and I'm going to give you kind of a lot of color on how that's gone this year, as well as providing water for industrial sales and some oil and gas royalties. Slide 4 is just a summary of our water utility assets and kind of a depiction of where we're at in our sandbox here in the Denver metro area. We're in sort of the southeast area and as you can see both in terms of where our assets are located in our service area at the Lowry Range. Growth in the metropolitan area has kind of grown up to where all of our assets are. So we find ourselves to be located in the right segment of the Metroplex. Let's drill down specifically to Sky Ranch. So our master plan community is about 938 acres, it's right on the I-70 corridor, it's about 16 miles east of downtown and directly south of the Denver International Airport. We have a mixed-use community. So we have zoning for somewhere around 3,500 homes and that will be a product mix, a range of product mix ranging from single-family detached to a single-family attached to multifamily housing. We have about half a mile of frontage, so about 160 acres if you include the usability of property right adjacent to the interstate for commercial development. And well total if you look at all types of uses between residential, commercial, multi-family. We estimate that that's about 5,000 single-family equivalent connections which really give us a marker and how we work connections to our water utility. So let's talk a little bit about what's new and an update to our Q1 results. We've delivered about 372 finished lots. So we are far ahead of our schedule in terms of what our original forecast was. Each of our three builders has accelerated their take down of lots and so we have capitalized on some good weather towards the back half of the year. And continue to complete infrastructure roads, curbs and gutters to deliver those finish Lots. So we've been paid up through Q1 for 372 of those 506 lots. We're about 90% complete on all wet utilities and dry utilities. So really the only thing we have left on the remaining 1334 Lots are going to be the high ticket items which are going to be curb gutter and pavement. And so those we will capitalize on weather dependent opportunities as we work through the rest of the winter here. But we have a good inventory for each of our three builders to continue to sell lots and then sell homes out there. We have about 40 residents now in the community. So we're delivering not only finished Lots and the home builders are delivering homes, but we've got residents and water and sewer customers and tax payers in our community today. We've got about a 152 building permits issued and sold about 175 water and wastewater taps. So even beyond the number of homes under construction that they keep applying for those building permits, keep processing water sewer taps based on the volume. So that gives us a leaning indicator of their continued success on selling homes in the community. We expect to deliver the remaining portion of that by say September of 2020 which will in some cases accelerate our lot deliveries by as much two years. So we're pulling forward lots that we're expected to deliver in maybe late 2021 early 2022 timeframe so that gives us an idea of the success of our first phase. Some of our key infrastructure components are complete. We've completed --we wouldn't really have been able to get going without the off-site road infrastructure, but also completed the water and the water treatment facility. So those are all complete and in service. Moving to the next slide. What I really want to highlight here is kind of the average. We're getting about 6 to 8 homes per builder per month, so that gives you quite absorption for the community as a whole. I did some lot metrics here for updating our analysis on this. And we did have some inflaters from our original take down schedules from our home builder purchases. So our average home price is up a bit just because those inflators. So we're seeing about a little favorable margin on the price of the lots that we're delivering and then also wanted to highlight kind of how the first quarter went down with some of the reimbursable, some of you who follow the company closely will have noted our press releases back in November before the holidays. We were able to close on financing a portion of the public improvements that we have installed for this community. And if you take a look at just the amount of money that we were repaid the $10.5 million that averages about another $20,000, almost $21,000 per lot in reimbursable costs. And then we still have other reimbursable that are yet to be paid. That will be paid from future bond offerings and that probably is a wee bit better than the $20,000 that we're projecting. But I do want to note how that ultimately-- how we're going to end up on some of the lot sales on this first day. So that gives you kind of a picture of how the first stage has kind of worked its way through. Moving on to the second phase where I'll highlight some of the financial results that will go back to the Sky Ranch development. I do want to talk a little bit about some oil and gas activity because there's been a tremendous amount of activity in oil and gas. A couple of the big announcements have been that ConocoPhillips has entered into an agreement with a company called Crestone Peak Resources to sell their position in this field. Crestone I think that acquisition is expected to close sometime end of February first part of March timeframe. And I think most of you know that that Occidental Petroleum entered into agreement to acquire Anadarko Petroleum who also has significant ownership interests of minerals in this area as well. And this kind of gives you a framework or what I've tried to do is highlight the different operators that we have in this area. So this slide really does emphasize sort of each of the individual operators and their kind of positioning here. I think we have three significant operators with substantial positions in this area and then maybe three more smaller operators that have other positions in there. So where the field was at one point almost exclusively dominated by one Operator. I think we have as many as six operators in this field now. As you'll note in the in the in the financial sections, our industrial, oil and gas water sales have been very, very light and I think that's probably indicative of a couple of things. One that the transaction had been in the works and so I think Conoco had some expectation that they were going to hand off the torch to another operator in this area. At the end of sort of the summer they had left. They had drilled 13 wells but had not frack those yet. So we still have an inventory of wells that have been drilled but not yet fracked and whether that was going to be Conoco that was going to frack those or Crestone that's going to frack those. I think that was dependent on whether or not they were able to strike that deal and whether that deal closes. As you know, we average about a little over $200,000 about $210,000 -$220,000 per well as we sell water to each of these wells. And it's about a $2.7 million - $2.8 million number and that's really going to be the variance that we saw from our year end and first quarter, first and second quarter this year numbers in terms of why those are a little bit weaker than what we anticipate. So what we'll see is how Crestone attacks this field; how they position their assets and they'll have probably a little bit different program than Conoco in terms of how they operate, but I think it's still very attractive field. One of the things that have been interesting is sort of really the analytics on oil and gas deliveries and how well these wells are producing and the amount of oil that's in this part of the Basin. So we're still very bullish on industrial water segments for oil and gas.  Let me move on to kind of the next phase. So slide 9 really starts to introduce Phase of 2 Sky Ranch and while we're still finishing the balance of the phase l Lots which will take us through delivery of those lots through our fiscal year-end. Home builders will still be building homes on those through the next two years. I think they're going to be inventory in some of those. They'll probably be out of --excuse me lots to deliver sometime in 2021 and they're going to want kind of us to continue to work towards delivering additional Lots. Our existing portfolio builders are very excited for Phase 2 as are a number of other builders. So it's been exciting to see the level of interest that this project has garnered in the metro area. We've got as many as 10 different builders who are extremely interested to come into the community. They have seen the success that we've had in the first phase. They're anxious for more of the same and continued delivery of those Lots. If you take a look at what we're doing in the second phase, we've got a bit more acreage there which will include some of the commercial acreage and then a lot more of the residential, we'll have some school sites in there and some mix of products being detached, attached and multi-family in the second phase. We're working some of the land plans and the construction drawings through the process. We hope to have a grading permit for sometime this summer and so beyond the site doing some grading sometime late summer early fall. And then take an opportunity to really complete those. It takes about 9-10 months to do all of the excavation and dirt work on that.  And so deliver lots about that same time frame when we're going to want to see some of those new lots opening up from sort of the sale out of Phase 1 and then I'm opening up in Phase 2 so that they can continue to deliver those. And then also adding additional builders to the portfolio. So where we think we have three builders was a good mix in the first phase. We may have six, seven different builders just because of the product mix and the number of units that we're offering in the second phase. And then we'll see how the commercial takes off. We've got a number of enquiries about commercial opportunities. Those are going to be slightly different opportunities for us in terms of how the developers look at those. If we take a look at sort of the-- we've done some early costing of that and so we think our costs for Phase 2 are going to be sort of inflation adjusted in line with what we have on our Phase 1cost. We will have the percentage of reimbursable so that much of the investment that we make in public improvements in Phase 2 are going to be slightly less than they were at Phase 1 because we had some off sites in Phase 1 that applied both to Phase 1 as well as Phase 2. So some of the drainage won't be as heavy in the second phase as we saw in Phase 1. So when you take a look at kind of the high percentage of the reimbursable that we had in Phase 1, some of those will cross over into Phase 2 and then the nice part about it is we do have continued capacity in our water utilities out there. Both our sewer system and our water system are very -- they have capacity in each of those. We might --we won't have much investment into the sewer system and we might have a small incremental investment into the water system to kind of continue to expand that on an annual basis. So that we keep up with the capacity and the demand on that.  So that would give you a little bit more color on Phase 2 and kind of some timing and some costing estimates. I know everybody's going to want the key question which is going to be well how much you can sell you a lot for. And I think we'll probably have some price adjustments from our first phase. I don't want to provide too much color on that because we're still working with a number of players on that yet. And so as we get those commitments finalized then I'll have a little bit more color and a little bit more detail for you as it relates to where those revenue side of the opportunities are. If you move on to page 10, I'm going to highlight some of our financial metrics because it gives you kind of a year-over-year growth and we've had very good growth rates for the company over the last few years. So investments in sort of the water assets, you can see kind of that continued growth from 2016. We've almost doubled the size of our water utility investments over that period of time. Taking a look at our liquidity. We continue to really be good stewards of your invested capital here. So what you say is investment over those years of investing into the Sky Ranch project and now we're rebuilding that up so that last column in each of these investments --each of these charts are going to really be indicative of the quarter end results as compared to all the other columns which are going to be the year-end results. Moving on to slide 11 that give you kind of an idea of our operating revenues. So last year we had a terrific year we had $20 million in operating revenue and Q1 we've got half that already in Q1. So we got a $10 million in operating revenue and then just kind of a continued growth in earnings per share and then sort of net income after tax. So very good financial metrics for us and for our shareholders. Page 12 will drill down on some of the specifics of each of the individual segments. Our Land and Development segments. We had Q1, 2020 over Q1, 2019, so we have a significant increase almost a sevenfold increase in revenues for Q1, 2020. Our municipal revenues and those are both usage revenues as well as tap fee. So now with the delivery of lots, we're getting significant monetization of our tap fees in that area. So you see the high growth in the tap fees. You'll see the softening of the frack revenue and sort of that explanation of the transactional nature of those sales of the assets here in this part of the basin. And then some improvement in our royalties. The improvements in our royalties were, we had four new wells that came online that pooled one-eighth of the pooling. So we had one quarter section of the eight quarter sections in that well interest. So continued opportunities and growth in oil and gas royalties from 640 acres that we had with Sky Ranch. So total EBITDA $7.6 million in Q1, 2020 as opposed to just $600,000 in Q1, 2019. If you move to Slide 13, what I did want to do is kind of spend a little bit of time walking you through the bonding transaction and sort of the accounting thereof because that's a little unique and both in terms of how the bond pricing gets set and how the net proceeds are. And then how we recognize that on our balance sheet. So all three of those things are very detailed, very complicated. But I'll give you an overview of each of those. So we did engage Citi Corp who did a terrific job for us. Our underwriters took a look at evaluating the bonding capacity and when they evaluate the bonding capacity they took -- they take a look at the entire capacity of what we're building in this space. So all 506 homes and what they do is they estimate the home value. So we sort of have a feel for that based on the number of transactions that we had up to that point in time to give them what will be the total assessed value. The total combined value of all 506 homes. And then they take that number and apply that to the total number of mills that are set by the municipality and the projected interest rate to come up with a determined capacity for the bonds. And so that was where that $13.5 million number comes from. It comes from the total assessed value of all 506 homes and that would be the sale price of each of the individual homes multiplied by the mills, multiplied by an interest rate. And then they take a look at tax receipts are one year in arrears. So what we'll do is have to capitalize interest for a period of time on that. And so they take a look at what that capacity is going to be. The absorption capacity of all of those 506 homes so that they accrue amount of interest. So that they can pay those bonds currently every quarter when they become due up until the tax receipts start to flow in and that year lag. And then you've net that out against their fees and get us the $10.5 million. So that's kind of how you take a look at how that bonding goes for the first 506 homes. And then how we account for that is again another unique area. So what we do is GAAP guidance allows us to take the total cost that we've incurred as of that date. So as of the date that we issued those bonds as the percentage of the total cost of the project. So this is the total cost not the total revenue. The total cost of the project as opposed to what our forecasted total cost is and that percentage we book as the amount that we've held to income because the total cost is what we've spent into the project. So we received that cost number in there and then the difference of that rolls into income. So the remaining amount is deferred held into inventory and then we released as we sell the remaining Lots. So our inventory number was 60% of that cost had been occurred. So we rolled --we had already rolled that out of the inventory number. So 60% of bond proceeds rolled into the income category; 40% of those costs were yet to be incurred. So that was held in deferred until we recognize that revenue and so what that will do in the subsequent quarters is it will increase our profit margins for the remaining 150 odd Lots, 54 - 58 Lots.  And so our margins because we take a look at what those margins were assuming that we get none of the reimbursable and that was going to be about a 6% margin and now on the remaining portion of that we're going to have see those margins increased significantly up to about 27%. So it's a bit complicated as to how we apply those proceeds, but what you'll end up seeing is a timing difference between Q1 and the balance of the delivery of the Lots which if we see the continued absorption that we have in the market we should sell all the Lots by our end of fiscal year end. Then you have the balance sheet and the statement of operations and a couple of things to note in the statement of operations are sort of the tax expense. So we are now in a tax liability position. We use the remaining NOLs that we carried over from our fiscal year end. In 2019, we had about $2.5 million of remaining NOLs and so now we have tax accruals here on after. So you'll see a bit of that where we can spend some of that money over to Uncle Sam. And then the key indicators on our earnings per share, so you'll see the remaining bond proceeds come out of that. That other $4.2 million which is going to be deferred revenue held in inventory will roll out into earnings per share on subsequent quarters. So those are going to be some of the highlights of the balance sheet and the income statement. So those are going to be kind of the highlights of the quarter. It was a terrific quarter from our perspective we were able to really execute on a number of fronts not only on the delivery of lots in a particularly opportunistic area where we had a mild fall. We got slammed with a bit of weather over the Thanksgiving holiday. And then had a little more temporal weather in December. So we continue to take advantage of delivering infrastructure for finished Lots and then kind of how we handled the reimbursable and the bond transaction from our first phase.  So with that I'm going to turn the call back over to Jess and see if you guys have any questions and would like me to drill down on any of the specifics.
Operator: [Operator Instructions] We have a question from Geoffrey Scott at Scott Asset Management. 
GeoffreyScott: Mark, how are you? Very well, thank you. A couple questions. Can you size the infrastructure expenditures for Phase 2 for us? 
MarkHarding: Can I size the infrastructure, so -- not just yet? If you take a look at -- let me set aside that I'll bifurcate that out between what the commercial deliveries going to look like versus the rest of the residential delivery. And so what I would see in the rest of the residential delivery, we're probably a little more than 2x the size of the first phase. So if you take a look at the lot delivery and so if we took out some of the heavy public improvements like the drainage channel and things like that. We're probably delivery of the 506 lots would be around call it $30 million. And so maybe we're looking at a little bit of economies of scale and maybe twice that investment for the delivery of the next increment of that. And what we would try to do is really similar to Phase 1; phase that so there's going to be opportunities where we can grade out say the whole area for residential to capitalize on economies of scale. And then incrementally deliver sub phases within that phase. So we did that even in Phase 1. We delivered Phase 1, 506 lots but we were technically set up to deliver in three phases, but we ultimately because of the success ended up delivering it in two phases just because of the acceleration. But we will similarly bifurcate that out where we have commitments from builders. We're going to try and look at the same contractual format where we're going to have a lot development agreement where we'll get paid a third type transaction. So that we can continue to have the builders optimize their cash flow so that they're not paying for all of that infrastructure upfront, neither am I.  So we're partnering and delivering that on a real-time basis. And I think we have adequate capital. If I ultimately run through the analysis I think we believe we have an adequate capital to run all of Phase 2 on the same platform that we did with Phase 1.
GeoffreyScott: Okay, sounds good. You talked about 40 residents. Is that 40 human beings or is that forty houses?
MarkHarding: 40 houses, so 40 families out there. I don't have a census count out there. It's predominantly family. So we're seeing lots of young kids that are loving the updated play structures that we've got at our parks.
GeoffreyScott: Yes. But it's 40 houses that are inhabited now.
MarkHarding: Correct.
GeoffreyScott: Yes. I've driven through and I've been surprised at the amount of activity. It's really going very well from outsider's perspective. 
MarkHarding: Yes, coming out of the ground, it's exciting to see and it's not --where as I'm sure you saw at one of the Investor Days we had maybe a couple years ago you're like, wow, this is the middle of nowhere and all of a sudden now you've got 150 homes in the middle and it doesn't feel like that at all.
GeoffreyScott: No. And I mean I drove through it kind of 10 days ago and I was surprised it just a change from when I drove through it at the end August. The next question is really kind of chicken-and-egg that the first houses go in there the lots are a little bit less valuable because there is no commercial. And then once commercial is --once residents in there there's more interest on the commercial side because you have this market that's grown up. And then once the commercial is in the next set of residential is even more valuable because there's commercial there. Where do you kind of stand on that spectrum? How are you thinking about the comparative values going forward? Does it make sense? 
MarkHarding: I think -- it does, it's sort of the cyclical value that you create with a Master Planned Community. And you're right, when you're leading with that, you've got a residential opportunity and it may have a value that would be discounted compared to when you're in an urbanized area and you've got all the convenience of commercial facilities. And so two things happen; one, the assessed value of your existing customer base goes up, so resale of homes certainly have a significant price appreciation, that has two -- that has -- it has two effects. One, it certainly has the advantage to the original homebuyer. But from our perspective, it also adds more tax revenue to help pay more of the reimbursable than we already financed in the first phase. And then on the other side which you are alluding to is your lots become more valuable because your home builders have the ability to build the same house and sell it at a higher price and so we want to participate in that. And so how we look to do that one, Geoff is we want to try and have a base price for our house and then also have participation with the builders on sort of any price appreciation over certain number. And then that way I'm not forecasting it at their expense and they're not benefiting the price appreciation at my expense. So we will partner with them on that to be able to incentivize us to provide a great curb appeal community and a community that continues to have price appreciation for even the same product that they're going to be building.
GeoffreyScott: And you'll keep that agreement for phase II?
MarkHarding: That's what we're looking at. Yes, that's how we're -- we're trying to structure this as the same lot delivery agreement, get a bump in the price and then also have a back-end true-up on home value sales.
GeoffreyScott: Is the residential development to-date sufficient that commercial people have been coming to you or have you still been having to go out to them?
MarkHarding: Kind of 50-50. I'd say there are some tire kickers that are just sort of looking to lock up on long options, which are really not of interest to us. We're really looking at users, builders on this thing rather than kind of sell it to somebody who is going to sell it to somebody. So we want to be a little bit more patient with that because we've got -- we really are monetizing the project very nicely, and I don't want to miss out on sort of undervaluing the commercial which then continues to grow in value because of what we're doing on the residential.
GeoffreyScott: Yes, I mean that was my impression from my little advisory that once phase 2 starts to be very visible, commercial becomes extremely valuable.
MarkHarding: Yes.
GeoffreyScott: Of that 2.3 million square foot commercial, how much is going to be in phase 2 and then how much is going to remain?
MarkHarding: So I would sort of segment that as to say that's commercial and that'll be through -- throughout the rest of the project. While we're -- while -- because we're planning that upfront that's going to be that 480 acres occurs. But I will say that a portion of that commercial we'll develop in phase 2 and a portion of that commercial we'll develop in phase 3.
Operator: And Mr. Harding, I have no other questions holding. I'll turn the conference back to you for any additional or closing comments.
MarkHarding: Okay. Did we get one that wanted to jump in there at the end, Jess?
Operator: We just did. Absolutely, Robert [Sloce]. Your line is open. Please go ahead, sir.
UnidentifiedAnalyst: Mark, fine job. I'm inquiring about subsequent quarters this year that possibly you won't have a CAB reimbursement so the earnings might be less than this quarter. Could you comment on that?
MarkHarding: So, good question. That's what we've tried to smooth out. So what you saw was we recognized 60% of those revenues on Q1 and then we'll have that 40%, the remaining 40% of those bond proceeds which will go over the rest of the year. So it will be less, but it still will have some of those bond proceeds that even out some of those EPS in subsequent quarters. And you're right, these bond events happen periodically. There is kind of an optimization of when these are -- the right time to do and some of that has to do with the fact that you want to be kind of right mid stage where you've had some construction that got started. You know what those homes are selling for so that they have a good forward indicator to bond buyers to give them guidance as to say, here's the AV, here's the sales, here is the mill levies, and here's the bonding capacity, so you get all of that right. And then there is a window where you're not going to improve on that because you've got a year lag. So even though you might have a few more homes, it's still not going to give you more bonding capacity because they already price that into it. And so, we'll see that same cycle in phase 2. It might be a little bit bigger because we might wait and see that we have instead of 500 homes, maybe we're looking at projecting out 900, to 1,000 homes, something like that and then see how that will look for the next phase of the bond reimbursable. So those are going to be lumpy, but then when they occur, you'll see how we record that in revenue for those percent -- in the same percentage, based on the percentage of the cost of the public improvements to-date compared to the percentage of the total public improvements that we're going to make in the project.
UnidentifiedAnalyst: Okay. It's a hard thing to get my hands around, but I -- yes, I'm sure, you're right. Thank you.
MarkHarding: I wish I could have an easier way to explain the GAAP process on that and it's something that -- that's about as simplistic. That's just how I understand it. I think there is probably, if I had our CPA explain it to you, we'd all be lost.
Operator: And we will return to Geoffrey Scott at Scott Asset Management.
GeoffreyScott: Mark, just one quick follow-up. What is the real estate taxes on your -- just kind of your average house that there is $325,000?
MarkHarding: Very -- well, I'd say very modest. For those that are in New Jersey, it's a downright steel. But I would say based on the mill levies and this will be kind of a total mill levies, not just our mill levies, but we have overlapping districts and jurisdictions in here, it will be around, say, $3,800 - $4,000 a year.
GeoffreyScott: $4,000 on a $325,000 house?
MarkHarding: Yes, I'd call it, say, maybe a $350,000 house.
MarkHarding: Yes. Well -- so, we've got another -- Pat [Donahoe]. Okay. It's going to be disappointed if Pat didn't make -- have a question.
UnidentifiedAnalyst: Thanks Mark. Thanks. Just -- I think it's kind of a follow-up on the previous one. But if you look at the number you have on the inventory that $4 million that isn't on the balance sheet, all right? So where -- I'm still kind of confused on so where is it.
MarkHarding: I think it is in the inventory number.
UnidentifiedAnalyst: No, it's not in the inventory.
MarkHarding: [Multiple Speakers] That's right. That's right. So what happened is that $4 million will be recognized with inventory. So as we roll, it's a deferred revenue component and what happens is as we sell additional lots, we're going to pull that $20,000 per lot into the rev rec for each lot we sell from here forward. That's how our margins would go from 6% to 27%.
UnidentifiedAnalyst: I'm sorry. I just don't -- I don't -- so to get this $4 million asset, if you're going to move it from sort of -- I am just thinking of it should be moved from the balance sheet to the income statement, but it's not on the balance sheet or is it on the balance sheet? Is it incorporated in the -- in one of these other numbers? It's not in the investment in water systems, it's not in land and mineral interests, not in other long-term assets or is it, maybe it's on other long-term assets, where is that inventory number?
MarkHarding: So what we have to do is reduce the cost of that infrastructure. So you lower that cost out of there and then that money, it's receded into the assets. So we have the cash for it, but then as we recognize it from the balance sheet. So where is that on the balance sheet, it's in cash, and then where it rolls into the income statement is going to be a higher margin in how we're delivering the lots.
UnidentifiedAnalyst: Okay. Okay, it's in the cash. Okay.
MarkHarding: Trust me, we struggled as there's not a lot of precedent for how this stuff happens. And so if I give you kind of the three different scenarios for this and maybe this will help too for all of you to understand. If we issued the bonds upfront before we incurred any of that cost, then that money would be in inventory, all through the process and so you take it ratably down. If we issued the bonds after we sold all of the lots, then all of that would go to cash and then run down into the balance sheet. When we issue it in the middle of it, some of it goes to cash, some of it goes to the income statement. And so it's that timing of -- if it was all upfront it'd be running through inventory on every lot. If it was all after, it'd be in cash and it would roll through the income statement in its entirety. And then in between, we do it on a percentage basis.
UnidentifiedAnalyst: Yes, I'm just having trouble trying to figure out what -- I'm kind of trying to figure out holistic view of what the business is worth. And so much of this tap fees are one-time -- obviously one-time revenue and income statement -- income numbers. And I guess if I kind of looked at back to your other slide that you had on slide 11 -- was that slide 11 -- I'm sorry, slide 10, where you had water investments in cash, if you can go back to 2016, am I thinking about this right? If you go back go to 2016 it's sort of if you had the cash plus water investments, you're at what is that, $56 million-ish and if you kind of fast forward it today your water investments plus cash is sort of $73 million, so over the sort of four years, we've kind of gone up that $17 million, is that -- plus maybe, so is that sort of what we've -- because we really haven't spent too much. I mean I know there's some things in terms of the big water channel and stuff like that that we will get some benefit in the second phase and obviously, we'll get some income going forward. But that $4 million that we're going show up as income is already in the cash statement. So if we kind of like I guess I'm thinking out loud here, sorry. But, so if we are at $0.09 a share-ish before the sort of this event we will probably be, you can add that in the next three quarters. So it's like $0.36 on top of that. So at $17 million plus a little bit is where we're at after phase 1? Does that sound about right?
MarkHarding: I'm tracking your numbers, but yes, I think that's right.
UnidentifiedAnalyst: Okay. Okay. Yes. It's cool. Sounds good. Hey. So I got one more for you. Just I was thinking about flying out for your -- you got a year-end meeting next week, is that right?
MarkHarding: Yes. You pre-empted my close.
UnidentifiedAnalyst: Okay. I'm sorry. Go ahead. 
MarkHarding: Yes. We have our shareholder -- we do have our shareholder meeting coming up next week. So if you're all passing through town or are interested to come out and take a look, it's on the 15th. It will be at 2 o'clock at Downtown at our attorney's office at Davis Graham & Stubbs. So there'll be the address for that on our proxy materials, but I certainly invite you all to have an opportunity to come out, meet the Board, ask any other detailed questions to the extent that we can give you some more color of kind of how the first half of this has gone. And what we expect to see kind of on phase 2 and the build-out and sort what may be some of these implications of the repositioning of some of these oil and gas assets would be.
UnidentifiedAnalyst: Thank you. End of Q&A
Mark Harding: Okay. So with that, I think I will again thank you all for your continued support. We wouldn't be here without all of your support and we have a lot of long-term shareholders. So I do want to thank you for your trust and your commitment over the years and we hope to continue to deliver positive results through the rest of this year and moving forward. So if you have a question that you didn't quite be able to get on through the technology of the call, certainly don't hesitate to give me a call or if you're listening to this on a rebroadcast, don't hesitate to just give me a call directly. So with that, I thank you and I will close the call.
Operator: Ladies and gentlemen, we thank you for your participation. You may disconnect at this time. And have a great day.